Operator: Greetings, and welcome to the Park Lawn Corporation's First Quarter 2023 Earnings Call. [Operator Instructions] Please note, this conference is being recorded.  I will now turn the conference over to your host, Jennifer Hay. Ma'am, you may begin.
Jennifer Hay: Thank you, Ali, and good morning. This is Jennifer Hay, the Chief Strategy Officer and General Counsel at Park Lawn. Thank you for joining us today on our 2023 first quarter earnings call. Before we begin our prepared commentary on the quarter, please note that you can find a detailed breakdown of our 2023 first quarter in our financial statements and MD&A, which are available on our website and on SEDAR. Today's call is being recorded, and a replay will be available after the call. Please be aware that certain information discussed today is forward-looking in nature. Any such information is subject to risks, uncertainties and assumptions that could cause actual results to differ materially. Please see our public filings for more information regarding forward-looking statements. During the call, we will reference non-IFRS financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please see our public filings for additional information regarding our non-IFRS financial measures, including for reconciliations to the nearest IFRS measures. I will now hand the call over to Park Lawn's CEO, Brad Green, to open our discussion today. 
Brad Green: Thank you, Jennifer, and good morning, everyone. In addition to Jennifer, with me on the call today is our CFO, Dan Millett. We are very pleased with our first quarter operating results, in that we showed against tough economic headwinds and a comparable quarter that was heavily impacted by the COVID-19 pandemic. While there were some lingering impacts of the pandemic which continued throughout 2022, they significantly decreased following the first quarter of 2022 and we expect this to be the last quarter of exceptionally difficult comparison. As the impact of COVID-19 subsides, our focus continues to be on implementing incremental improvements in our operation and making selective and strategic growth decisions that drive shareholder value. As a result, our revenue continued to grow year-over-year increasing 4%, while adjusted EBITDA decreased slightly with the decline in the death rate. The results from our cemetery operations were strong during the quarter as pre-need property sales increased over the comparable quarter primarily due to our large cemetery businesses continuing to perform well.  Additionally, the merchandise supply chain continues to self-correct resulting in greater merchandise delivery than we experienced in the same quarter last year. Overall, despite the significant variance in the death rate as compared to the first quarter in 2022, our total cemetery revenue from Comparable Operations decreased only about 1% year-over-year. We attribute this largely to the refocus on the heritage on our parts through cemetery property sales. Ultimately, we believe that focusing on property sales will continue to improve our overall cemetery sales program in its strength throughout the year.  As expected, our at-need sales at both our funeral and cemetery businesses were impacted as a result of the drop in the death rate, although we are pleased that the decline in our same-store call volume decreased significantly less than the national average. More specifically, recent CDC data suggest deaths in the United States were approximately 14% lower during Q1 2023 versus Q1 2022. However, in looking at our comparable operations, we only saw a decrease in call volume of approximately 11%, which was not only lower than the national average but also compares favorably to our peers. Also based on CDC data, we have seen the concept of excess death begin to lower in the U.S. during the first quarter of 2023 and believe we are beginning to see a more normalized operating environment for death care. During the quarter, we also completed a significant acquisition in the Sioux City and South Sioux City markets, which resulted in PLC entering states of Iowa and Nebraska. And subsequent to the quarter, we completed another premier acquisition in the Greater Kansas City Metropolitan market, further expanding our commanding presence in Missouri. The completion of these two transactions alone takes us a long way towards our annual goal of completing $75 million to $125 million a year in acquisition. We have stated in the past, we have a robust pipeline of premier acquisition opportunities and we continue to believe that our previously stated range of $75 million to $125 million per year in acquisitions is achievable in 2023. Finally, on the organic growth front, we also completed the construction of and opened Waco Memorial Funeral Home on Waco Memorial Park. As a result, we have the first and only on-site offering in Waco, Texas. With that, I will turn the call over to Dan, who will provide some additional detail regarding our first quarter results.
Daniel Millett: Thank you, Brad, and good morning, everyone. My comments this morning will focus primarily on our operating results from the first quarter 2023 relative to Q1 2022. For the first quarter, we saw revenue increase approximately 4.3% as Acquired Operations continued to contribute to Park Lawn's positive growth. However, overall revenue from Comparable Operations decreased approximately 5.6% year-over-year, which was expected considering the heavily impacted COVID-19 comparable quarter. Over the past year, we have seen significant volatility in mortality due to the direct impacts of the COVID-19 pandemic; and more recently, the indirect impacts of the pandemic. However, we believe in Q1 2023, we saw the beginning of a return to historical mortality in both the U.S. and in Canada. As Brad mentioned, based on preliminary information from the CDC, we have seen mortality in the U.S. decrease approximately 14% year-over-year and 5% quarter-over-quarter. While this obviously impacts our at-need sales, our teams have been focused on managing costs to the number of cases, and our cemetery sales have maintained their strength primarily due to continued group sales in our Northeast region.  Also on the cemetery side of the business, recall that in Q1 2022 we discussed the impact of the supply chain on the delivery of cemetery merchandise. And while delivery times have not completely restored to pre-pandemic lead times, they have normalized as compared to the first quarter 2022 supporting cemetery revenue. For the three month period ended March 31, 2023, our operating expenses, including our direct cost of sales, general and administrative advertising and selling, and maintenance expenses increased approximately $3.2 million over the same period in 2022. This increase is primarily due to Acquired Operations, but was partially offset by various labor costs including field level bonuses and benefits, as well as changes in structuring and reporting relationships. As we have been promising, this quarter, you will see additional detail in our disclosure, which has been made possible by the implementation of FaCTS and other incremental improvements in our systems and processes.  Beginning this quarter, you will see information detailing the results of our cemetery businesses and funeral home businesses as well as our corporate costs. Our cemetery businesses saw strong adjusted field EBITDA margins this quarter of approximately 34%, an increase of approximately 2.5% as revenues stayed flat, while general and administrative costs decreased. This decrease is primarily the result of operational changes made to labor costs following the sharp decline in death rate and the external impacts from the macroeconomic environment in the first half of 2022. Further, we also received benefit from certain structural changes such as moving to a self-insured health benefits plan and the reallocation of labor costs.  On the funeral home side, our adjusted field EBITDA margin decreased from 33.7% to approximately 31% for the three month period ended March 31. While we did see similar improvements in labor on the funeral home side, same-store call volumes and margins from our acquired businesses, decreased funeral field margins year-over-year. Again, this is a direct result of the sharp decline in death rate from the prior quarter, which was heavily impacted by COVID, as well as the usual impacts from integrating new businesses. Overall, our adjusted field EBIDA margin decreased 50 basis points to 32.2%.  On the corporate side, while we have been forecasting and expected to see an increase in the corporate cost as a result of our growth, in the first quarter of these costs were slightly higher than we anticipated. These costs increased primarily as a result of the current inflationary environment, as well as full operation of FaCTS and continued systems improvements and integration. In addition, we also reallocated some costs between the field level and corporate business units. Going forward, we'd expect corporate costs to be elevated in the near term as we plan, execute and execute on initiatives that will set Park Lawn up for a next stage of growth. But we do expect these costs in the medium term to revert back to historical norms of 7% to 8% of revenue.  Turning to the balance sheet, at March 31, 2023, we had approximately $172 million outstanding on our credit facility. Other debt of approximately $13.6 million, finance leases of approximately $5.4 million and cash on hand of approximately $34.1 million. Excluding ours debentures, our net debt was $157 million as at March 31, 2023.  We remain conservatively levered at the end of March as our leverage ratio was approximately 1.95x times on the terms of our credit facility and 2.74x including our outstanding debentures. We continue to believe our balance sheet provides us with an opportunity to grow in a very difficult capital environment. During the quarter, we have taken steps to mitigate the impact of rising interest rates and have entered into three interest rate swaps covering a notional value of $100 million in debt for the near-term. Interest rates have had a negative impact on our financial results for the first quarter by approximately $0.05 per share and we have seen underlying interest rates increase 500 bps in the past year. We believe this is a prudent decision to manage interest rate risk on our credit facility. Also having these tough comparisons resulted in a decrease in net earnings for Q1 2023 relative to Q1 2022. Net earnings for the first quarter was $4.6 million or $0.132 per share compared to $8.7 million or $0.250 per share in Q1 2022. Furthermore, the adjusted net earnings for the first quarter of this year was approximately $8.6 million or $0.249 per share compared to $11.2 million or $0.321 per share in Q1 2022. I'll now turn the call back to Brad for some closing comments.
Brad Green: Thanks, Dan. The significant fluctuation in the death rate during the COVID-19 pandemic certainly created some challenges for Park Lawn. Rather than panic or significantly alter our course, we met those challenges head on and actively sought out ways to improve our organization so that we can better serve our families and create shareholder value. We are not talking about improving our sales function, we did it. And now we are not only maintaining our historically strong sales, we are improving them. We are not talking about creating an ERP system, we have built our own, rolled it out and are currently experiencing the benefits of FaCTS, which we only expect to improve. We are not talking about being good stewards of our precious capital or the benefits of making large acquisitions and improving them, we do it annually over and over again, which has resulted in unprecedented growth. It's important to keep in mind that the above decisions and actions as well as those we are taking today are aimed at establishing Park Lawn as a sustainable premier operating company in the long-term. As we have repeatedly stated, we are not a consolidator, but an operator of funeral homes and cemetery businesses that happens to grow through acquisitions. It is this understanding which is shared by our entire team that makes us different and is fundamental to our success in the death care profession. That concludes our prepared remarks and I will now turn it over to Ali for any questions.
Operator: Thank you. [Operator Instructions]. Our first question is coming from Martin Landry with Stifel GMP. You may proceed.
Martin Landry: Hi. Good morning. guys. And thank you for the additional disclosure. It's very much appreciated. My first question is on your average revenue per call. It was up 1.5% year-over-year, and I think that was fueled by a price increase. So I was wondering, if we exclude the price increase, was your revenue per call lower on a year-over-year basis? And also trying to understand a little bit how the economic slowdown is impacting your merchandise and services, and wondering if you are seeing a bit of a trade down in merchandise and services?
Daniel Millett: Yes, Martin. On the first -- it's Dan here. On the first part of the question regarding -- if I understood your question correctly, regarding revenue. Our revenue was down year-over-year from our funeral homes primarily due to the decrease in mortality, the decrease in call volume. That was slightly offset by the increase in averages. It has been something we have talked about probably since our Q1 2022 conference call that our changes in averages are not -- or changing pricing, excuse me, is not something we do lightly and we have been focused on that all year in 2022. And that’s not going to stop throughout 2023. We continue to face inflationary pressures, and we are very actively reviewing on a location-by-location, market-by-market basis, our averages. So again, we're constantly looking for quarter-over-quarter increases. But absent share price increases, we are also looking to make sure we're giving our customers the right product mix and what they want to honor their family and loved ones to help drive additional average revenue. 
Martin Landry: And just maybe the second part of my question. Are you seeing a trade down in merchandise and services sales due to the slowdown? 
Brad Green: Yes, Martin, this is Brad. We are actively watching that. I mean, I read and listen to the same things you are, which is -- and it varies from, there is a slowdown, there's a slowdown coming, there's a slight slowdown, there's a massive slowdown coming at the end of the year, the first quarter. So we're definitely paying attention to what our consumer is doing and what they're choosing. And the short answer is, no, we're not seeing that right now. Now, we're going to be sensitive to it, which is why, going back to Dan's answers in previous quarters, that's why we're very cautious about our price increases. We don't want to see a price increase impact market share because of macroeconomic factors that are going on in our consumers, our customers and customer families' lives. So the short answer is we're looking for it, we're sensitive to it, but we haven't seen it yet. And I think that's indicative even when you look at the small increase we have in cremation year-over-year and quarter-over-quarter. 
Martin Landry: And then last question, you mentioned that your call volumes -- you're lapping an easier comp on a go forward basis. Wondering how do your call volumes look like from an organic standpoint for Q2? 
Brad Green: Well, we've only had one month into Q2 and making a decision on a monthly basis in this profession is a very dangerous game to play. But I will say that what we've seen so far in the beginning of the quarter is definitely in line with our expectations and what we anticipate to occur throughout 2023. 
Operator: Our next question is coming from George Doumet with Scotiabank. 
George Doumet : Brad, I just want to get your thoughts on the outperformance that we've had versus the peers, maybe what's driving that do you think? 
Brad Green: The outperformance on the same-store sales? 
George Doumet : Yes, correct. Market share gains, I guess. 
Brad Green: Yes. So, it's hard to say compared to other folks. I would just take a step back for a second -- and remember when we were coming into the pandemic is when this executive team effectively took over in March of 2020, and we managed through a pandemic, which saw significant ups and then significant downs in 2022. What I would say that this management team is used to, that isn't always the case in both our public and private competitors, is that we consistently see market share growth in businesses that we acquire, in businesses that we've run for a long time. So in a normal environment, George, we don't see a situation where our comparable volume drops or our same-store sales drop. And so I think as we just manage to that and we continue doing our job there and we focus on the businesses we run and we focus on our pricing and things of that nature, that just takes care of itself. So that's a long way of saying, historically, I would expect this management team to be able to keep same-store volumes at or increasing. And that's what we manage to. And how that compares to the other folks, that's just going to -- they're going to have to sort that out in-house. 
George Doumet: And just a clarification to prior question. The expectation for you guys for Q2 and for the rest of the year is closer to flat organic growth, right? 
Brad Green: Correct. 
George Doumet : One last one for me, Brad, on the M&A landscape. I know you've been focused on smaller deals. But are you seeing anything perhaps in the medium to larger deals? Are you perhaps seeing valuations maybe start to creep down a little bit? 
Brad Green: Yes, that's an interesting question. And from quarter-to-quarter, kind of for the last couple of years, it hasn't changed a lot. I would say it's starting to change now. And by that I mean obviously with a 500 basis point, 550 basis point increase in interest rates, those people who are either highly levered or those folks who use primarily borrowing to buy businesses, mostly the private equity backed consolidators, I mean they are seeing a significant increase in their borrowing costs. I mean, even one of the publicly-traded companies I think is still sitting at 5.5x leverage. I mean, that's something that we don't have a problem with. And then you hear the largest consolidator in the industry for the first time verbalize that they are sitting on tremendous amount of capital waiting for people that are over-levered or have too high of interest rates to stumble. So they are “Ready to pounce.” And I believe were the words that were used. You kind of look at that environment and you apply that to the M&A context, and you can imagine that there has been a cooling. I can see it. I can see there are either less businesses that are coming through their consolidators or even when I'm talking to people -- sorry, coming through their brokers, even people I'm talking to are recognizing that there are pressures being put on people who may have been more willing to pay up for businesses in 2020 to 2022. Have I seen that come through in what we are buying right now? No. But I also didn't see the multiples go up during that period of time. We kind of have sourced the deals at our own multiple levels. So it's not really creating a problem for us, but I do sense that out there in the industry you are going to see some changes as the interest rates continue at this level, both in seller expectations and what buyers are willing to buy.
Operator: Thank you. Our next question is coming from Irene Nattel with RBC Capital Markets. You may proceed.
Irene Nattel: Thanks and good morning, gentlemen. First of all, yay, on the incremental disclosure as a result of FaCTS. Thank you. Which leads me to my first question, which is, now that you have all of this accurate, lovely detail, can you walk us through the specific areas that you are going to target, where you see the greatest opportunities, perhaps to surface some incremental dollars from existing footprint?
Brad Green: Yes. So again, we are in the early stages of this Irene. And I think as a management team, most people have now gotten that we deliver on what we say we are going to do. And I think at the beginning of last year Dan said that we were going to start delivering on some of the segmented reporting and it was going to get more detailed. FaCTS is giving us information that allowed to do what you have seen, but it's also giving us information to do things that we are not necessarily comfortable disclosing yet, but we will. So Dan will be the first one to tell you that you will see those disclosures improve over time as the information coming out of FaCTS gets more detailed and we get more comfortable with it. If you apply that to what we are doing in operations, it's the same thing. We have been allowed in a very short period of time to take the information that's coming out of FaCTS, and be able to drill down to specific areas and businesses if not specific people doing specific things. And as a result of that, we are even in the process of tweaking our operating model to be more specific based on what we have coming out of FaCTS. And that might sound like I guess like we are changing something, we are not. We are making it better and it's being very well received from the field.  So I noticed -- you know I haven't said anything specific yet, other than to say, our normal KPIs that we're looking at, the normal things that we use to manage our cemeteries and funeral homes, we are now able to get that information more granularly and quicker. And as we are able to do that, we will be able to run those businesses better, right? And we will be able to disclose more. Now I'm not really ready to roll out the different -- how we've changed, how we look at some of our KPIs in the funeral homes and cemeteries and how we are using that information. But you can expect to hear some more of that from us in the next quarter or two.
Irene Nattel: That's really helpful, Brad. And if you could, just something that you said was really interesting, which is, it's being well received in the field, which obviously is critical in order to get adoption. Are you finding that it's actually their thirsting for that kind of help and information input from you to improve their results?
Brad Green: Yes. I would almost be -- I almost wonder whether or not you have bugged our conference room. But that is exactly right. In other words, for a long time, we were basically managing the businesses with information that was either a little later than we wanted or not as specific as we wanted.  But at the same time, we're doing that, we have people that are running the businesses. Our managers that want to do whatever they can to serve the families better and improve their businesses. So they're wanting the information. They're wanting it more detailed, and they're wanting it more quickly. So as we're rolling this stuff out and they're getting it, you're exactly right. It's like, when can you do more? And the biggest joke -- the biggest humor I have in this is we pushed pause on rolling FaCTS into Canada so we can improve part of it in the U.S. just because it was well received and the information was being used in a manner that we could immediately see. And now I've got my operators in Canada saying, oh that's cute. When are we getting it up here? Like, we need this now. So you're right, they're thirsting for information, very well received. Probably the most excited I've been in a long time about a singular thing that we're doing at Park Lawn is that system. 
Irene Nattel: And then just finally, we're hearing from other companies that they're still getting -- they're still seeing cost pressures whether it's labor, whether it's materials. Can you talk a little bit about what you're seeing and how we should be thinking about inflation on the cost side in your business? 
Daniel Millett: Irene, it's Dan here. Yes, no, we would echo that statement of some of our peers, right? You just need to look at the economic data to know that. Yes, while inflation is decreasing year-over-year, it's still much higher than historical norms, and we're not immune to that in any way, shape or form. When we talk about some of our suppliers, some of our largest suppliers, for example, on the merchandise side, we have fixed contract increases with them. So, we get to manage that through those contracts. But I find a lot of the inflationary costs and that probably encompasses a whole lot of things, it’s very predominant on the corporate side of the business. We talked about how we expect to see those costs go up and that's a component of it and a big component of it. In the field, yes, we are continuing to see those pressures. The largest cost we have is labor. And while this is nothing new, it's not a deep pool. It's not like an accountant where you can go down to the accounting firm down the street to find a new funeral director. But that's something we've dealt with our entire lives. And well, my life hasn't been that long in the profession, but for many others around here it has been. So we are feeling those pressures. We are going to continue to manage that relative to our cases and call volumes and that continues to be a stress point of this industry. 
Operator: Our next question is coming from Zachary Evershed with National Bank Financial. 
Zachary Evershed : With the additional granularity of information available with FaCTS, do you think you'll be restructuring sales commissions and incentives to target specific things? 
Brad Green: We've been working on our sales commission, and restructuring and to target specific things for a while now, but not in the manner that you might be asking the question. It's not that it's broken. It's not that we're changing anything in a significant way. We've altered the way that we pay some things out, so that our sales counselors are focused on particular sales and particular sales that would impact our results. So as -- but what FaCTS allows us to do is it's calculating those sales internally. It's telling us what to do on trust. It's doing certain things that take say some human capital resources and puts them inside of the system that then allows us to use our sales managers and VPs of sales to focus on other things. So we've already been doing that, Zach, is the short answer. But to expect some huge overall change, don't expect it, yet. I will say, if you look at our results in our pre-need sales and even compared to some of our competitors out there, I'm pretty pleased with how we've navigated those waters through the pandemic and especially through 2022 in the first quarter. So I think we're doing a pretty good job at that right now. 
Zachary Evershed : No, wouldn't expect you guys to over-steer. That's great color. And then changing topics. Thinking about the bulk cemetery sales, is there a natural cap on that? Maybe a point at which they will still phase out?
Brad Green: So it's interesting, we just bought some new property -- physical property that we can develop another cemetery on that's in close proximity to where those bulk sales are occurring now. As a matter of fact, Jennifer and I traveled there not too long ago and we are standing in the field looking at it with the operators, which is a lot of fun to see a vision of where that's going to go. When we just left a field that I was standing in '19 and it looked the same and now it's a full blown cemetery. But my point is, we think towards the future of where we are going to get those group sales and how that's going to continue. But even in the parks that we are selling the group sales, there is still going to be openings and closings. There is still going to be monument sales. There are things that are going on in that park, that's going to make them revenue producing for the company going forward.  Right now, do I believe there -- I mean, they are always going to chunky. We have preached that over and over again. There is going to be some quarters and some years, it's going to be higher or lower. But we have a master plan in place so that the cadence of those should be consistent at least for the foreseeable future at Park Lawn. And as we need to, we look at our master plan, we will add property. We are thinking about those things. I don't anticipate there to be a cliff where that just stops. And if we do see that cliff, we will see it some years out and we will start warning people so they can get ready for that.
Zachary Evershed : That's good color. Thanks. I'll turn it over.
Operator: Thank you. Our next question is coming from Daryl Young with TD Cowen. You may proceed.
Daryl Young: Good morning, everyone. You actually we just answered my question with your last response. I was just curious about the CapEx profile on the cemetery properties this year and how you felt about the inventory you had available to sell? And whether it was coming from new, or I should say recently acquired properties versus your legacy properties? But you gave some pretty good color already.
Brad Green: Yes. I'll just add to that, the process of us building out our cemetery inventory and property is something that we believe just to be kind of core to what we are supposed to do. So I mean that starts out at a rooftop level. It goes through the management. It goes through the Ps. It's sorted out with Jay and Matt at the executive level. Expenses are discussed extensively with Dan, and we put a plan in place. We are always looking to replenish and grow our inventory where we need to and plan for that. So I mean, Dan will lay out the numbers. Dan will lay out the expectations at the beginning of the year. But it's not like we wake up in the beginning of one year and think, oh my gosh, we need to do something in X cemetery this year. That's already been planned and we have been marching towards that by the time that year rolls around. If that makes sense?
Daryl Young: Got it. Yes, no, that's good color. And then one more if I can. Just in terms of your customer profile. And I'm just trying to figure out if maybe you might have more or less of an exposure to the market to a lower income consumer, just in light of the recessionary conditions and possible implications for pre-need sales?
Brad Green: Yes. I think that opens up almost a Pandora's box, because then you get into the conversation of which socioeconomic group is more impacted by pre-need sales. Is it the individual who is in the lower middle class that's looking to spend a few thousand dollars or is it someone that's in the upper-upper class that's looking to spend $0.5 million in a mausoleum? And that's normally not our customer. And when you hear SCI refer to those large sales, that's what they are talking about at times. Our customers are lower down on that, but more of the middle-middle class, I would say, most -- and then we have some markets where we have definitely higher end customers. So it's kind of a span. And in some markets, we have got from the lowest end, all the way up to the premier business in the particular market.  So I wouldn't say that we had any particular exposure to any socioeconomic group, if you look at the company as a whole, I'd almost put us right down the middle. We are not low end heavy and we are not high end heavy. And as a result of that, we should be able to navigate whatever the economic environment is thrown at us from both the pre-need and an at-need perspective.
Daryl Young: That's great. I'll get back in queue. Thanks for that color.
Operator: Thank you. Our next question is coming from John Zamparo with CIBC. You may proceed.
John Zamparo: Thank you. Good morning. I'll also echo my appreciation for the new disclosure. I wanted to get back to the M&A environment, and you mentioned the ready to pounce comment from your peer. I wonder, do you think the economic environment we're in changes the prospects for a deal of one of the industry's larger private players for you? 
Brad Green: The short answer is yes. I think that if we are in a sustained economic environment where interest rates are high or we find ourselves in a recessionary environment, I think that puts pressure on lots of people who have found themselves either in an over-levered position or in a position that they don't have capital or growth anymore. I don't think we're in either. So that allows us, I mean, I'm -- I don't have the balance sheet to say that I'm willing to pounce on anything. But I do have the balance sheet that allows me to make the decisions that we need to make to grow.  So, yes, I think, that very well could open up the doors, John, in the very near future, if we stay in this environment. And we're constantly talking to folks and they're constantly talking to us. It's not a large profession. And I'd like to think that we have a good reputation. And what -- no, that's being way too. I know we have a good reputation and I think there are other private players out there that would certainly like to join us and if they want to, the doors are open for discussions. 
John Zamparo: And then just one more for Dan. Relative to the corporate costs, I think you've said targeting 7% to 8% as a percent of sales, I think it was 8.5% in the quarter. I'm wondering how we should interpret the goal of medium term. Is that a multi-year goal? Is that a multi quarter goal? And is there any seasonality to that number we should be aware of? 
Daniel Millett: Yes. So, first I -- just to clarify, I'm not going to say it's a target. That's not something we're targeting at this point, but it's kind of been where we've been historically and feel that that's a good range to be in for kind of the normal run rate of this business. Secondly, I think going into this year, I said we'd kind of be at the high end of that range for, call it, the near term. So, let's say, nine to 15 months. I don't think there's a lot of seasonality in it. It's really focused on A, our growth profile. B, as we've talked about the various systems and the consolidation of the systems and the integration of those systems, including FaCTS within our organization, there'll be incremental costs there, and we're working on projects to figure out more long term how we can utilize all those systems more efficiently and effectively to actually reduce costs with a much bigger portfolio. So -- but to do that, we've got to spend money to get the support and help that we need to kind of think through it.  We also -- part of the increase in this quarter is we've -- in the effort to get some of this segmented disclosure out over the past longer than year and a half at least, probably two years, we've really been trying to focus on separating where people sit within the broader structure. Sometimes we will acquire a business with a very strong individual and that individual will become a vice president of something, say for example, sales and sit with that funeral home or cemetery, or -- excuse me, wellbeing for cemetery for a period of time. And we're really focused on making sure those people are falling into the right buckets. So as we've kind of got this information, as we're trying to put it out there and discuss our story about how we talk about and think about our businesses, we'll continue to kind of refine some of those things to help give you some idea of the way we look at the business or guidance, if you will. But I hesitate using that word. 
Operator: Thank you. We have reached the end of our question-and-answer session. So I'll now turn the call back over to Mr. Millett for any closing remarks. 
Daniel Millett: Thank you very much, Ali. As the well documented romantic of the team, I just wanted to take these quick closing remarks to wish my wife a very happy birthday. 30 never looked so good. So just wanted to do that and as well wish all the mothers out there a very wonderful Mother's Day. So thank you very much everybody for attending today and we'll talk to you soon.
Operator: Thank you. This concludes today's conference and you may disconnect your lines at this time and we thank you for your participation.